Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American States Water Company Conference Call discussing the company’s Fourth Quarter and Full Year 2024 Results. [Operator Instructions] The call is being recorded. If you would like to listen to the replay of this call, it will begin this afternoon at 5:00 p.m. Eastern Time and run through February 27 on the company’s website, www.aswater.com. The slides that the company will be referring to are also on the website. This call will be limited to an hour. Presenting today from American States Water Company are Bob Sprowls, President and Chief Executive Officer and Eva Tang, Senior Vice President of Finance and Chief Financial Officer. As a reminder, certain matters discussed during this conference call may be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees or assurances of any outcomes financial results, levels of activity, performance or achievements, and listeners are cautioned not to place undue reliance upon them. Forward-looking statements are subject to estimates and assumptions and known and unknown risks, uncertainties and other factors. Listeners should review the description of the company’s risks and uncertainties that could affect the forward-looking statements in our most recent Form 10-K and Form 10-Q on file with the Securities and Exchange Commission. Statements made on this conference call speak only as of the date of this call and except as required by law, the company does not undertake any obligation to publicly update or revise any forward-looking statement. In addition, this conference call will include a discussion of certain measures that are not prepared in accordance with generally accepted accounting principles or GAAP in the United States and constitute non-GAAP financial measures under SEC rules. These non-GAAP financial measures are derived from consolidated financial information that are not presented in our financial statements that are prepared in accordance with GAAP. For more details, please refer to the press release. At this time, I will turn the call over to Bob Sprowls, President and Chief Executive Officer of American States Water Company.
Bob Sprowls: Thank you, Michael. Welcome, everyone, and thank you for joining us today. I’ll begin with a discussion of the year. Eva will then discuss some financial details for both the fourth quarter and the year, and then I’ll wrap it up with updates on regulatory activity, ASUS, dividends, and then we’ll take your questions. Let’s first start with a look at 2024. On the regulatory front, we are very pleased to have received final decisions from the California Public Utilities Commission, or CPUC, last month for both our water and electric utility subsidiaries. Both decisions represent constructive regulatory outcomes that enable us to continue investing in our water and electric infrastructure for safe and reliable services to our customers for generations to come. I will provide more details on these decisions later in the call. We finished 2024 with very strong financial results. Our reported earnings per share for the full year of 2024 and were $0.19 lower compared to the prior year. Earnings per share were $0.32 higher than adjusted 2023 earnings, which exclude favorable variances related to the receipt of final decisions in the water general rate case, and cost of capital proceedings in June of 2023. Excluding the 2023 adjustments, the increase in adjusted earnings for the full year of 2024 was primarily driven by rate increases in both the water and electric utilities and the commencement of water and wastewater operations at 2 new military bases and successful economic price adjustments in our contracted services business. Additionally, our water utilities segment recorded a tax benefit following the final decision in its general rate case. These increases were partially offset by higher operating expenses and interest costs, and the dilutive effects from the issuance of equity under American States Waters’ at-the-market offering program, which decreased consolidated earnings by approximately $0.04 per share. In 2024, we invested $235.5 million in infrastructure at our regulated utilities, reflecting our strong ability to execute our capital plans. ASUS, our contracted services business secured $56.5 million in new capital upgrade awards with projects scheduled for completion through 2027. Both are record highs for our regulated utilities and ASUS. At ASUS, we began work under two new military contracts serving new bases on the East Coast, further expanding our footprint of managing water and wastewater systems for the U.S. government. American States Water achieved a return on equity of 14.1% for the year, and we increased our dividend to shareholders by 8.3%, marking 7 consecutive years of annual dividend increases. The 14.1% earned return on equity was achieved despite a 14.2% increase in our average consolidated equity balance between the 2 years. Some of the increase in the equity balance is due to the stock issued under the at-the-market program. These accomplishments compare very favorably to other utilities. We’re very proud of our long-standing track record of delivering value to our shareholders. Overall, it was a productive year, which sets the stage for future growth for the entire company. And of course, we continue to deliver safe and reliable service to over 1 million people in 10 states, no small task, and one that remains a key driver for the entire organization. With that, I’ll turn the call over to Eva to discuss earnings and liquidity.
Eva Tang: Thank you, Bob, and hello, everyone. Let me start with our fourth quarter results. Recorded consolidated earnings were $0.75 per share for the quarter compared to $0.55 per share for the fourth quarter of 2023. For our water utility, Golden State Water, reported earnings were $0.52 per share as compared to $0.41 per share last year. The $0.11 per share increase in 2024 was largely due to an increase in third year water rates and overall increase in the authorized rate of return on rebate and a tax benefit recorded in the fourth quarter as a result of receiving the final decision in connection with Golden State Water generated proceedings. This increase is partially offset by higher operating and interest expenses and lower gains generated from investments held for retirement plan. Lastly, there was a decrease in earnings of approximately $0.01 per share due to the dilutive effect from the issuance of equity on the American States Water at-the-market offering program. Our electric segment’s earnings were $0.13 per share for the quarter as compared to $0.07 per share for 2023, a $0.06 per share increase primarily due to receiving the final CPUC decision on the electric general rate case with new rates retroactive to January 1, 2023. Earnings from ASUS decreased $0.01 per share for the quarter largely due to an increase in operating expenses, some of which was due to timing, partially offset by an increase in management fee revenues due to commencement of operations of the water and wastewater systems at Joint Base Cape Cod and Naval Air Station Patuxent River, and successful resolution of economic price adjustments at a legacy bases. Consolidated revenue for the quarter increased by $17.9 million as compared to 2023. Revenues for the water segment increased by $5.1 million largely due to an increase in the third year water rate and an increase in authorized rate of return on rate base in 2024. Revenues for the electric segment increased by $10.6 million mainly due to the impact of the retroactive new electric rates for the full year of 2023 and 2024. Revenues from ASUS increased $2.3 million primarily due to higher management fee revenue, as I just mentioned. Turning to Slide 10, and looking at total operating expenses other than supply costs, consolidated expenses increased by $13.1 million compared to 2023. This increase included the impact of the electric general rate case decision recorded in the fourth quarter of 2024, which reflected an $8.2 million increase in operating expenses, primarily due to higher administrative and general, and maintenance expenses, partially offset by the retroactive impact of a lower overall composite depreciation rates for both 2023 and 2024, also recorded in Q4 of 2024. These items are included in the 2023 and 2024 revenue requirements. In addition, the increase was due to higher overall labor costs, maintenance expense due to timing and an increase in depreciation expense largely at Golden State Water and property tax expenses, both of which are impacted by the increased capital expenditures for our regulated utility. The increases are partially offset by a decrease in Golden State Water’s other operation-related expenses resulting from receiving the recovery of previously incurred costs, and lower ASUS construction expenses. Other income net of other expenses decreased by $1.6 million in the fourth quarter compared to last year, largely due to lower gains recorded on investments held to fund a retirement plan. The decrease was partially offset by the recording of CPUC allowed returns during construction for electric segment, electric segments as well as other projects. Slide 11 shows the EPS bridge comparing reported EPS for the fourth quarter of 2024, against the same period for 2023. This slide reflects our full year earnings per share by segment as reported and adjusted. Consolidated earnings for the full year of 2024 has recorded or $3.17 per share compared to $3.36 per share for 2023. However, included in the results for 2023 were $0.38 per share related to the impact of retroactive rate from the final decision, the water GRC for the full year of 2022 and the reversal of $0.13 per share for revenue subject to refund originally recorded in 2022 as a result of the final cost of capital decision in June of 2023, both items related to our water segment. Excluding the two items just mentioned, from 2023 earnings recorded an adjusted consolidated earnings for 2024 were $3.17 per share as compared to adjusted earnings of $2.85 per share for 2023, an increase of $0.32 per share. Please refer to our press release and the Form 10-K filed yesterday for more detail on our full year earnings. Turning to liquidity on Slide 13. Net cash provided by operating activities was $198.7 million for 2024, as compared to $67.7 million for 2023, the increase in operating cash flow was primarily as a result of Golden State Water’s having implemented new rates in 2023 and 2024. The collection of surcharges to recover retroactive revenues from 2022 through July of 2023, and higher water consumption in 2024. The increase in cash flows from operating activity also resulted from differences in the timing of billing and cash receipts for construction work at military bases at ASUS as well as the timing of its vendor payments. For investing activities, as Bob mentioned earlier, our regulated utility invested $235.8 million on company-funded capital projects in 2024, and we project company-funded capital expenditures to reach $170 million to $210 million for 2025. American States Water at-the-market offering program to sell common shares remain ongoing as this program to allow the company at its sole discretion to sell up to $200 million over a 3-year period. During 2024, American States Water raised proceeds of $88.7 million, net of issuance costs and legal costs incurred. American State Water currently maintain a credit rating of A stable with Standard & Poor’s Global Ratings, or S&P, while Golden State Water maintains A+ stable rating with S&P, and A2 stable rating with Moody’s investors service. Each of these ratings have been affirmed during 2024. These are some of the highest credit ratings in the U.S. investor-owned water utility. With that, I’ll turn the call back to Bob.
Bob Sprowls: Thank you, Eva. I’ll begin with Golden State Water’s general rate case. On January 30 of this year, the CPUC issued a final decision in connection with the general rate case. Final decision adopts the settlement agreement between Golden State Water and the Public Advocates Office at the CPUC or Cal Advocates for short. Among other things, the decision authorizes Golden State Water to invest $573.1 million in capital infrastructure over the 3-year capital cycle. This includes $17.7 million of advice letter capital projects to be filed for revenue recovery during the second and third year attrition increases when those projects are completed. In addition, the approved settlement agreement includes $58.2 million of advice letter capital projects that began construction in 2023 that we expect to file for revenue recovery during the second and third year attrition increases when those projects are completed. For all of the advice letter projects: Golden State Water will be allowed to accrue interest during construction at the adopted cost of debt and recover the full rate of return, including all applicable components of the revenue requirement after the assets are placed in service up until the assets are included in customer rates. Excluding revenues for advice letter capital projects adopted operating revenues less water supply costs for 2025 are projected to increase by approximately $23 million when compared to 2024. In addition, there are potential additional revenue increases of approximately $20 million for each of the years 2026 and 2027, based on inflation factors without factoring in the revenues from those advice letter capital projects. The final decision also adopts Golden State Water’s recommended sales forecast, a supply mix that splits the difference between Golden State Water’s and Cal Advocates forecast, and accepts the sales reconciliation mechanism proposed by the company. In addition, there were three other regulatory mechanisms that Golden State Water requested that were litigated and addressed in the decision. The decision, however, rejected a full sales and revenue decoupling mechanism and a full supply cost balancing account, and instead ordered the transition to a modified rate adjustment mechanism for sales, and an incremental cost balancing account for supply costs. The decision also rejected a supply mix adjustment mechanism; and a request to modify the existing PFAS memorandum account to track carrying costs on capital investments needed to comply with the new PFAS regulation. The new mechanisms authorized in the decision are effective January 1, 2025. The final decision approved Golden State Water’s proposed rate design associated with the modified rate adjustment mechanism, which move more revenue recovery into the fixed service charge, then under the rate design associated with the company’s full revenue decoupling mechanism. On January 14 of this year, the CPUC approved a request to defer the cost of capital application by 1 year to May 1, 2026, with the deferral Golden State Water will retain its authorized return on equity of 10.06%, and a 57% equity ratio through the end of 2026. On January 16 of this year, our electric utility subsidiary received a final CPUC decision in its general rate case that approves the settlement agreement between Bear Valley Electric, Cal Advocates, and the other intervener in the proceeding in its entirety. The proceeding sets rates retroactive to January 1, 2023, and determines electric rates for the years 2023 through 2026. The decision, among other things, allows Bear Valley Electric to invest $75.6 million in capital infrastructure including at least $23.1 million of advice letter projects over the 4-year rate cycle; it adopts a return on equity of 10.0% and a 57% equity ratio; and it approves recovery of requested capital expenditures and incremental operating costs incurred prior to 2023 in connection with its wildfire mitigation plan. These costs were not previously included in customer rates. In addition, the settlement provides increases in the adopted operating revenues of $2.2 million for 2025 and $3.3 million in 2026. The rate increases for 2024 through 2026 are not subject to an earnings test; the previously mentioned advice letter projects of at least $23.1 million are expected to generate additional annual operating revenues of approximately $3 million when the respective projects are completed, placed in service, and filed for recovery in customer rates. These projects also accrue allowance for funds used during construction that will further increase the revenue requirement. Turning our attention to Slide 17. We present the growth in Golden State Water’s adopted average water rate base for 2018 through 2024, which increased from $752.2 million in 2018 to $1,357.5 million in 2024. That is the compound annual growth rate of 10.3% for the 6-year period using 2018 as the base share for the calculation. Golden State Water anticipates a robust and sustained growth in its rate base over the next few years as a result of receiving its recent general rate case decision. That again authorizes it to invest $573.1 million in capital infrastructure, including $17.7 million of advice letter capital investments to be filed for revenue recovery during the second and third year attrition increases when those projects are completed. In addition, it authorizes investment on certain other capital projects already under construction beginning in 2023. The recovery of which will also be handled through advice letter filings upon project completion. All advice letter capital projects will contribute to further growth in rate base in the second and third years of this cycle. To continue to ASUS which contributed earnings of $0.55 per share for the full year of 2024 as compared to $0.50 per share for 2023. The increase was mainly due to an increase in management fee revenues resulting from the commencement of operations at the 2 new bases and the resolution of various economic price adjustments partially offset by higher overall operating expenses from the new bases, and a decrease in earnings of approximately $0.01 per share due to the dilutive effects from the issuance of equity under the company’s at-the-market offering program. We are also very pleased that ASUS has received a significant increase and new capital upgrade awards in 2024 of $56.5 million in total, as compared to $25.2 million for 2023. In addition to continued work on the existing bases we serve, we remain confident that we can effectively compete for new military base contract awards. With a solid performance expected for ASUS in 2025, we project that subsidiary to contribute $0.59 to $0.63 per share this year. I would like to turn our attention to dividends, which remains a compelling part of our investment story. Our quarterly dividend rate has grown at a compound annual growth rate or CAGR of 8.8% over the last 5 years through 2024, and we have achieved a 10-year CAGR of 8% in the calendar year dividend payments through 2024. These increases are consistent with our policy to achieve a compound annual growth rate in the dividend of more than 7% over the long term. I’d like to conclude our prepared remarks this morning by thanking you for your interest in American States Water. And we’ll now turn the call over to the operator for questions.
Operator: [Operator Instructions] We will begin with Jonathan Reeder with Wells Fargo. Please go ahead.
Jonathan Reeder: Hey, Bob and Eva. I hope you guys are well.
Eva Tang: Thank you, Jonathan.
Bob Sprowls: Hi, Jonathan. Hope you are as well.
Jonathan Reeder: Yes. Hanging in there. Could you help me reconcile how much of the $0.06 electric GRC retroactive EPS benefit that was recorded in Q4 is solely related to 2023? And I saw the 10-K mentions like $9.8 million of retroactive revenues for both ‘23 and ‘24, but it seems like – some of that is offset by corresponding operating expense increases related to those years as well?
Bob Sprowls: Yes, I would say more of it is related to ‘24 than ‘23, Jonathan. As you know, I think you know. And it’s interesting, we had sort of had this situation on both settlements, the Bear Valley settlement and the Golden State settlement, the Public Advocates was very interested in trying to move out that first year increase and that then – that’s why you sort of see these advice letter projects in both cases.
Eva Tang: So Jon, we had a substantial amount of unrecovered costs, both capital O&M from implementing our wildfire mitigation plan that we will request recovery of amounts or projected capital O&M for 2023 and ‘26. So on top of what we need to do for this current rate case cycle will also request those dollars to be included in base rate for this breaking cycle. The recovered historical cost it’s about $24 million of CapEx related to the wildfire mitigation plan, along with the increases in costs to recover tree trimming costs and all the wildfire mitigation operating-related expenses. So our first year’s request was quite significant when we file the case in 2022. So during the settlement agreement, we agreed to move certain capital projects to 2024 and beyond, and file some project as advice letter project, which will earn AFUDC while construction. So that’s why the first year increase since – small compared to 2024. We believe this is how we can reach a settlement and mitigate the first year increase to customers, kind of pancake two rate cases in one. So that’s why most of the increase you see probably for 2024.
Bob Sprowls: As a reminder, the last rate cycle we had at Bear Valley was a 5-year rate cycle our decision came out in that particular case, just as things were being put in place for the requirements associated with filing wildfire mitigation plans. I don’t know if this is completely accurate, but I think we – because of just the rate cycle lined up, we probably had gone the longest of any of the electrics in terms of starting the wildfire mitigation plan activities before our next rate case where we would then seek recovery of those expenditures. And so that put, I would say, a little more pressure on that first year rate increase, because we had several years of well fire mitigation plan activities that we hadn’t recovered from customers, but needed to be then included in the rate cycle for 2023 through 2026.
Jonathan Reeder: Okay. So would you say any of that $0.06 of the retroactive EPS benefit is related to 2023 or 2023 was pretty neutral in all the $0.06 is in Q1 through Q3 of 2024.
Bob Sprowls: I think the way to think about it is the majority is in – is for ‘24. I can’t really give you a precise split on the $0.06, but I think the way to think about it is the majority of it was in ‘24.
Jonathan Reeder: Okay. Alright. And then as you noted, 2024, we saw a huge increase in consolidated operating cash flows to nearly $200 million. Is that a good proxy for your 2025 expectations, given you’ll still be collecting the retroactive revenues from the delayed 2022 to 2024 water GRC decision plus some of the retroactive revenues from the electric GRC?
Eva Tang: I think so, Jonathan, is more aligned with what’s going forward in 2023, I would say.
Jonathan Reeder: Okay. And then last question for me, how much of the remaining roughly $110 million of equity under the ATM program do you anticipate issuing in 2025?
Eva Tang: $60 million-ish, Jonathan. So we like to even it out for 2 years, but if we need a little more, I would say, probably $60 million for this year.
Jonathan Reeder: Okay, perfect. Thank you so much for taking my questions.
Eva Tang: Okay, thank you.
Operator: [Operator Instructions] Seeing no further questions in the queue, this concludes our question-and-answer session. I would like to turn the conference back over to Bob Sprowls for any closing remarks.
Bob Sprowls: Yes, I’d just like to wrap up the call today by thanking everyone for their continued interest in American States. We appreciate your interest. Have a good start to your year. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.